Operator: Ladies and gentlemen, thank you for standing by and welcome to the MKS Instruments Fourth Quarter and Full Year 2019 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your host, David Ryzhik, Vice President of Investor Relations. You may begin, sir.
David Ryzhik: Thank you, Kevin. Good morning, everyone. I am David Ryzhik, Vice President of Investor Relations, and I'm joined this morning by John Lee, our President and Chief Executive Officer and Seth Bagshaw, our Senior Vice President and Chief Financial Officer. Thank you for joining our earnings conference call. Yesterday, after market close, we released our financial results for the fourth quarter and full year of 2019. Our financial results and a schedule of revenue by market have been posted to our website www.mksinst.com. As a reminder, various remarks about future expectations, plans and prospects for MKS comprise forward-looking statements. Actual results may differ materially as a result of various important factors, including those discussed in yesterday's press release and in the most recent Annual Report on Form 10-K for the Company and any subsequent quarterly reports on Form 10-Q. These statements represent the Company's expectations only as of today and should not be relied upon as representing the Company's estimates or views as of any date subsequent to today and the Company disclaims any obligation to update these statements. During the call, we will be discussing non-GAAP financial measures. Please refer to our press release included as an exhibit to a Form 8-K we filed yesterday for information regarding our non-GAAP financial results and a reconciliation of our GAAP and non-GAAP measures. Now I'll turn the call over to John.
John Lee: Thanks, David. Good morning, everyone, and thank you for joining us today. MKS delivered strong fourth quarter revenue of $500 million, above the high end of our guidance range. Non-GAAP net earnings for the fourth quarter were $66 million or $1.20 per share, which was also above the high end of our guidance range. Our strong results were driven by an improvement in our semiconductor market, which extended across our broad portfolio of differentiated products. Our advanced markets revenue was in line with expectations as our Light and Motion business remained stable with third quarter levels. Our equipment and solutions division declined in the fourth quarter due to seasonally softer volumes, which we highlighted during our third quarter call. As we enter a new decade at MKS, we're excited about three important secular trends, driving both our semiconductor and advanced markets. First is the impact of a world that continues to be increasingly interconnected, resulting in an explosion of data storage, data transmission and data analytics requirements. This drives continued growth for advanced memory and logic chip demand. Second is the increasing complexity of technology transitions in the semiconductor manufacturing, which leads to inflections, such as extreme vertical structures and process engineering at the atomic level. These inflections provided more growth opportunities for MKS as we are uniquely positioned to deliver the broadest and deepest portfolio of solutions. And finally, is the accelerating need for laser-based precision manufacturing techniques, which are enabled by lasers, photonics, optics, motion and systems solutions. We believe our long history and deep expertise in solving critical problems positions us well to address these challenges for our customers. Now for additional color on fourth quarter results. Sales to our semiconductor market strengthened considerably in the fourth quarter, growing 22% sequentially driven by a strong foundry and logic spending as well as early signs of recovery in memory. We expect strong semiconductor capital spending to continue into the first quarter of 2020. In our Vacuum and Analysis business, we saw volume orders for RF generators and matching networks related to design wins discussed previously. But I want to emphasize that power is just one of several critical enabling technologies that we provide to our semiconductor customers. MKS is also a market leader in plasma and reactive gas solutions as well as banking, measurement and control, where we have the largest portfolio of pressure, flow, valves and residual gas analysis solutions. The combination of these leading product offerings serves as a key differentiator versus our peers, which we believe enables us to respond faster to disruptive technology inflections. Also in the fourth quarter, we secured multiple design wins in our plasma and reactive gas business, particularly for leading-edge foundry nodes. In pressure, we received a key design win, a deposition application, owing to improvements in our technology at high-end temperature operation. Additionally, we won a meaningful residual gas analyzer order with a leading foundry for their most advanced technology nodes. In our advanced markets, we are encouraged with the stabilization in our Light and Motion business in the fourth quarter. And we expect continued stabilization into the first quarter of 2020. Because of our industry-leading offerings in lasers, optics, photonics and motion, we are a critical technology enabler across various industries, including microelectronics manufacturing, solar, life and health sciences, research and defense. In the fourth quarter, we saw demand for our pulse lasers across multiple markets in solar, display and PCB drilling. A key enabler of advanced manufacturing and inspection is precision motion control. And we are encouraged with the traction we have seen in our motion business, with numerous design wins for applications in display manufacturing, semiconductor wafer renewing and 5G antenna testing. We are also proud to announce that our Ophir optics, long-range continuous zoom lens was named an SPIE 2020 Prism Award finalist. This zoom lens delivers high-resolution surveillance and identification capabilities of distances of over 25 kilometers and demonstrates our relentless focus on innovation. Revenue for our equipment and solutions division declined in the fourth quarter due to seasonally softer volume, which was consistent with our expectations. That said, we are pleased with the substantial progress we have made towards our cost synergies goal, having already achieved over $13 million of annualized savings. We are also pleased to announce that we have recognized revenue for our new high-density interconnect PCB drilling tool, which was a result of the purchase order we discussed on last quarter's call. Also in the fourth quarter, we shipped another beta system to an additional customer, which now totals three customers with beta systems in active testing. Key differentiation is unique to MKS lives and having both strong expertise in lasers, optics, photonics and motion control in our Light and Motion division, along with the system that's a materials processing knowledge in our equipment and solutions division. We expect that leveraging this combined broad expertise will enable us to develop innovative solutions faster, resulting in additional opportunities across the company. Before turning the call over to Seth for additional details on our fourth quarter results and our first quarter outlook, I want to offer a few comments on my recent transition to CEO, effective January 1st. I'm truly honored to have been chosen to lead MKS. It's such an exciting moment in the company's history. The accomplishments MKS has made over the past six years have been nothing but astounding, and I believe the best is yet to come. I would like to acknowledge the tremendous support and mentorship I have received from our previous CEO, Jerry Colella, whom I will continue to work closely with when he assumes the role of Chairman of the Board in May. I would also like to acknowledge the invaluable guidance and support I have received from the rest of the Board over the past 12 years, most notably from our current Chairman, John Bertucci. And now I'll turn the call over to Seth.
Seth Bagshaw: Thank you, John. I'll cover our Q4 2019 financial results and then provide additional detail on our Q1 2020 guidance. Sales for the fourth quarter were $500 million, an increase of 8% sequentially. Revenue was above the high end of our expectations due to strong semiconductor sales, which totaled $272 million, a sequential increase of 22%. Continue to see improving fundamentals within the semiconductor market, as our end customers have increased equipment spending, we expect to see continued strength in the first quarter. Sales for advanced markets were $228 million, a decrease of 5% sequentially to a typical seasonality within our equipment solutions division. While our advanced markets remain impacted by geopolitical and trade headwinds, we encourage that revenue within our Light and Motion and Vacuum and Analysis divisions collectively grew 2% sequentially during the quarter and comprised $20 million of our advanced market sales. For the quarter, the revenue split between our semiconductor and advanced markets remain balanced at approximately 54% and 46%, respectively. Fourth quarter gross margin was 43.3%, which was in our guidance range for the quarter, where lodging impacted by product mix as well as seasonally lower volumes in equipment solutions division. Non-GAAP operating expenses were $124 million and was favorable to midpoint of our guidance range, reflecting our continued focus on cost control, even amidst stronger revenue volumes. Fourth quarter non-GAAP operating margin was 18.4% or 150 basis points favorable to the midpoint of our guidance, which highlights our core competency in managing our business sustainable profitable growth while driving strong operating leverage in our financial model. Non-GAAP net expense was $7.5 million. And a non-GAAP tax rate, which reflected a variable Geode mix of income was 19%. Net earnings for the quarter was $56 million or $1.20 per diluted share. Integration of ESI acquisition continues to proceed very well. And to date, we have achieved over $13 million annualized cost synergies. And are ahead of schedule, realizing our previously announced target of $15 million of annualized cost synergies. In the fourth quarter, revenue for the equipment solutions division was $43 million, which was within our expectations, as mentioned earlier, reflects typically – typical seasonality within this business. Now turning to the balance sheet. As in the fourth quarter, we maintained a strong balance sheet liquidity with $524 million of cash and short-term investments and $100 million of incremental borrowing capacity under an asset-backed line of credit. Our net leverage ratio continued to decrease was under 1 times at the end of the quarter, allowing our ability to quickly deliver following the acquisition. Following another strong quarter, strong cash flow generation, we completed another $50 million voluntary principal prepayments last week for a total of $150 million of voluntary prepayments since the access of ESI, less than a year ago. This was our 11th voluntary prepayments on loan origination in April 2016. Last week's voluntary principal for prepayment reduces our annualized interest cost by over $1.8 million based on our current rates. Given the fact of our $150 million of voluntary principal prepayments of the ESI closing, while the successful term loan repricing during the third quarter reduces our annualized interest cost over $9 million based on current rates. These actions demonstrate our consistent execution in reducing our leverage ratio and interest costs. Continued to demonstrate a balanced approach to capital deployment in the fourth quarter and paid a cash unit of $10.9 million or $0.20 per share. In terms of working capital, day sales outstanding was 62 days at the end of the fourth quarter compared to 65 days in the third quarter. Inventory turns were 2.5 times, improvement over the third quarter. Free cash flow for the quarter was $58 million. Finally, I'll discuss our Q1 2020 outlook. The semiconductor market, we expect the cost maintenance to continue into the first quarter. In our advanced markets, we expect the stabilization in revenues to continue into the first quarter as well, including a modest increase in revenue within equipment solutions division. As a result, we estimate that our sales in the first quarter could range from $495 million to $545 million. We estimate our non-GAAP gross margin could range from 43% to 45%. Reflecting production capacity was maintained to meet long-term demand growth as well anticipated product mix. In the quarter, we also expect improvement in margins within our equipment solutions division to improve volumes and product mix. First quarter non-GAAP operating expenses could range from $128 million to $136 million. R&D expenses could range from $43 million to $46 million. And SG&A expenses could range from $85 million to $90 million. The increase in first quarter operating expenses is a result of normal seasonal increase in fringe costs, which occur early in the start of calendar year. Looking beyond the first quarter, we expect our operating expenses to remain relatively consistent with first quarter levels as a result of anticipated wage increases in the second quarter as well as continued target investments in R&D and SG&A. Non-GAAP net interest expense is expected to be approximately $6.8 million and a non-GAAP tax rate is expected to be approximately 19%. In these assumptions, first quarter non-GAAP net earnings could range from $63 million to $83 million or $1.14 to $1.29 per diluted share. I'd like to now turn the call back to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Patrick Ho with Stifel.
Patrick Ho: Thank you very much and congrats on the nice quarter and outlook. John, maybe first off, in terms of the semi strength that you're seeing, which is probably very surprising. But given some of the complexities of manufacturing, particularly on the etch and deposition side of things that you mentioned earlier on the call. Can you talk about some of these new wins that you've garnered as well as potential increasing content intensity for MKS within these type of solutions for some of the manufacturing processes that you've talked about?
John Lee: Yes. Patrick, thanks for the question. So there are a couple of areas that are driving these opportunities. One is, of course, what we've talked about in the past, which is continued increase in layer count for VNAND. And that obviously drives higher power content as these layers become much higher aspect ratio. So that's one big driver of power. But the atomic layer deposition and even the atomic layer etching is requiring some of the reacted gases that come from the plasma and reactive gas group. And so ALD and ALE is another growth driver, the long-term growth driver, we think gives us more opportunity.
Patrick Ho: Great. That's helpful. And maybe moving to the advanced markets and the stabilization you're seeing there. Maybe more specifically on the Light and Motion side of things. There's a lot of different markets that those products serve. What do you believe will be the inflection point that'll drive the positive turn in that segment of the business?
John Lee: Yes. I think the geopolitical and trade headwinds, while they're not getting worse because there seems to be some falling in the relationship between China and the U.S., that's the positive side. But it hasn't really gone backward – back in terms of the original – removal of tariffs back to original levels. So those types are still in and so that is the headwind. I think the other area that can recover, and cause of recovery is a cell phone cycle, is incrementally stronger than what we saw in 2019. In 2019, as you know, the cell phone build rates were kind of flat to 2018, and there was kind of an overbuild of capacity in 2018. So it was a digestion going on in 2019 for the cell phone cycle. We saw a lot of that in ESI, but that probably manifests itself across the entire ecosystem. So we think a lot of that digestion is done. We think the cell phone cycle will be more normalized. And then, of course, if there are upsides to that tailwinds, such as 5G, having more flex content or cover more chips, I think those are potential tailwinds to driving a change in the advanced markets for Light and Motion.
Patrick Ho: Great. Thank you very much.
John Lee: Thanks, Patrick.
Operator: Our next question comes from Tom Diffely with D.A. Davidson.
Tom Diffely: Yes. Good morning. I guess, first, a follow-up on the advanced markets. So, John, do you view the current softness you see there as just a delay in activity driven by the geopolitical market? Or do you actually see the end markets as being softer right now? And the reason I ask is, if it's delayed activity, there could be some nice pent-up demand that unleashes pretty quickly?
John Lee: Yes, I think there probably was a little bolt on. It's hard to separate it out, but we do know that there was overcapacity built up in 2018 that had to be digested in 2019. And then the geopolitical issues caused kind of a dampening of demand there. So I think it's really a combination of both. And so both of these headwinds reduce, then of course, there's going to be some upside to the advanced markets.
Tom Diffely: Okay. And then curious to if there's a way to quantify the increase in capital intensity for the next-generation nodes, especially on the memory side, just like a 10% increase in potential business for you? Or is there some way to couch the relative size of the market?
John Lee: Yes. I think that our view of CapEx incentive for semiconductor is been that – has been that it's always been in that 10% to 12% of the semiconductor revenue. Every time it kind of exceeds that range, it kind of corrects. And every time it goes below, it kind of corrects. I guess there is some thought that CapEx intensity might increase to a higher level sustainably. But we're not baking that in. I think we're assuming it's still going to be 10% to 12% long term. And our historical share gains is really based on gaining that share outgrowing the WFE with both share gains and broadening of our portfolio into other segments of WFE.
Tom Diffely: Okay. And then maybe just a little color on the high HDI rollout. How you see that over the next few quarters?
John Lee: Yes. So as we talked about, we have now an additional potential high-volume beta customer testing in – testing there. And so right now, those customers are determining what weather and how many tools they might need for the upcoming cycle, the cell phone cycle. We are working, obviously, hard to try to get other beta customers. We have customers continually running samples through the three regional application centers that we have in Taiwan, China and Japan. So there could be potential for other beta customers in the future as well.
Tom Diffely: Okay. And then finally, for Seth, when you look at the interest expense of $6.8 million, does that fully capture the prepayment and the refinancing?
Seth Bagshaw: Almost. Tom, I would say about $7.9 million non-GAAP interest cost for a quarter, would be post the paydown from last week is what we're using internally.
Tom Diffely: Okay, great.
Seth Bagshaw: Pretty close but a little down, a little bit.
Tom Diffely: Thank you.
Seth Bagshaw: Yes. You’re welcome.
Operator: [Operator Instructions] Our next question comes from Sidney Ho with Deutsche Bank.
Sidney Ho: Great, thanks and congrats on the solid results and guide. My first question is on the semi side. 4Q, obviously, much better than expected, and you mentioned continued strength in Q1. Just going back to Q4, when did you start seeing this upside for the quarter? I know you said its foundry logic is driving that. But any color on products, geography, customers will be helpful. And do you think there is any kind of element of inventory refill at your customers at this point? And lastly, related to this, can you remind us what the lead time is between your sales and maybe when your customers ship their products?
John Lee: Yes, I’ll take the last question first. Sidney, its John. So we're typically a month or two months ahead. Obviously, our customers have to order stuff from us to integrate into their tools. So it depends on the type of products. Some lead times are longer. And then we started seeing the uptick in semi in Q3, middle of Q3. That's what we talked about. I think your question is, when do we see additional upside to what we guided in Q4 and it's hard to predict. I think we just started seeing the strength continue. And that's why we're guiding Q1 to be even stronger. We're seeing that momentum. And we talked about on our Q3 earnings call that inventory in our customers had already burned down. That's why we saw that uptick in Q3.
Sidney Ho: Okay. That's helpful. You also talked about memory CapEx. You're seeing early signs of recovery, yes? And I think you might be one of the early companies to have mentioned that last quarter. How would you characterize that recovery now? Are you actually seeing the increase in spending already? And how does that compare to maybe the past cycles? How broad-based is this recovery that you're referring to? Is at NAND, DRAM? And also maybe customers' geographies, like especially in Korea and China?
John Lee: Yes. I think we see that it's mostly VNAND-driven. I don't think that's a surprise. And then we – it's difficult to determine where it goes. We go to the OEMs, we ship stuff to the OEMs, we ship stuff to the OEMs and then they ship to various regions. There are a couple of different fabs that are – I have publicly said they're adding capacity for VNAND. And so those are the same fabs that you read about as well.
Sidney Ho: Okay. And maybe lastly, still staying with the semi side maybe beyond the first quarter. Can you talk about your expectations for the full year? In the past cycles, I think you grew more than like 30% in the first year of the recovery. Is it fair to expect that to happen to the semi business this year as well?
John Lee: Yes. It's hard to predict. In general, we tend to do a little better on the way up because our OEMs are pulling in inventory and replenishing. And then on the way down, we do a little work on average, though. They will grow 200 basis points above WFE CAGR. And so we expect that to continue. And so that's how we look at the – our performance through the cycles. We only guide Q1 because, obviously, further out is unknown. I think broadly speaking, though, we expect foundry to be strong just because of the – what TSMC has said publicly. We expect logic to be steady and strong just because of what Intel has said. And then memory is probably incrementally, certainly better than 2019, which of course, was a little watermark.
Sidney Ho: Okay. Great, thanks.
Operator: Our next question comes from Krish Sankar with Cowen.
Krish Sankar: Yes, hi. Thanks for taking my question. I had a couple of them. Number one, either John or Seth; it looks like the gross margin is structurally down versus the prior cycle? Is this a function of ESI in the mix? Or is it that new share gains are coming at a lower margin?
Seth Bagshaw: Yes, Krish. This is Seth, I'll take that. Yes. So in Q4, we had a couple of things. So E&S had a relatively low, as we expected, revenue quarter. And those margins are much below the corporate average, kind of like the low 30% range. So that drives Q4 down a little bit. If you go back to Q2 of 2019, the margins a little higher volume with more like 45% and up. So it depends on the mix in that division. And we know in the fourth quarter is relatively low seasonal volumes and the mix is kind of add for us. I think over time, they'll normalize back historical margins. Then a little bit of mix in the fourth quarter across the two divisions as well. It was probably 80 basis points. So if you kind of take the 43.3%, 80 basis points of large of mix. And if the E&S was kind of normalized margin, you get the 45% range in the quarter. And it's kind of how I look at it internally. And then if you can remember, you go back to Q2 of last year, our revenue was $573 million for just V&A and L&M. We're still running below those volumes. So there's definitely some capacity in the overhead in the factories. It ripped up those historical volumes, will definitely pick up, I think, at least another basis point over time.
Krish Sankar: Got it. That’s very helpful, Seth. And then if I look at it, clearly, to your point, I mean we're having some headwinds near term in gross margin. OpEx seems higher than last year. So is the operating leverage all pretty much driven by top line at this point? Or do you think OpEx actually moderates at some point down the road?
Seth Bagshaw: First of all, I mentioned in my last point on the leverage on margin, 100 basis points would be up not 1 basis point. So the – making investments in 2020 of areas, I think will drive long-term growth. So I think we'll have back this up a little bit this year for the investments. We have inflation. We are moderating a lot of that with profit improvements, ways to be more efficient within the business. If you look at that structure today and operating expenses and the current margin profile, we still expect a 40% operating margin leverage going forward, maybe 45%. And gross margin at the 45% level as well. So the leverage is still there in the model going forward. You're just seeing inflation this year and some targeted assets, which really drive long-term growth in the business, mostly in R&D and some of the IT functions as well.
Krish Sankar: Got it. And then, just a final question for John. I'm not sure – I mean, it's kind of a little bit of a tough question, but I just wanted to get your sense. How is it – guidance deal is from a coronavirus standpoint? I'm just trying to figure out, if the virus prolongs and your semicap customers cannot ship to China in the March quarter, is your guidance still fine?
John Lee: Yes. So Krish, our guidance does not assume anything about any effect from the coronavirus. Our main focus with respect to that is to ensure the health and safety of our own employees in China. And so we have taken steps there to make sure they're safe. We have aligned ourselves, obviously, with any kind of government directives from China as well as directives from CDC in the U.S. and the World Health Organization. So we're monitoring closely, but our first priority there is the health and safety of our employees. But the guidance does not assume anything about any effect of the coronavirus on CapEx expenses or anything like that or expenditures.
Krish Sankar: All right, thanks a lot, John.
John Lee: Thanks, Krish.
Seth Bagshaw: Yes, you are welcome.
Operator: [Operator Instructions] Our next question comes from Amanda Scarnati with Citi.
Amanda Scarnati: Hi, good morning. Just a clarification on sort of the timeline of expected revenue in HDI going from sort of beta projects at those customers to revenue generation? And what should we use to kind of measure this going forward?
John Lee: Amanda, its John. I'll take that. So as we said, well, there's three beta customers currently. They're testing those tools and they are qualifying processes for their customers. And then the question really is, whether they get the order from those customers? And then how much of the need they would like to buy from us versus incumbents? And so that's a little harder to predict. But I think if we had multiunit orders from a customer, whether it's five or 10, that is a great sign that they're committed to us in the near term, and then even a better sign that next year, those numbers could increase for that particular customer. So this year, the real focus is on data sites, getting a couple or two or three multiunit orders of whatever size, I think the multiunit order just tells us and signals us that the – that we made some progress. So that's the way I would look at it, Amanda.
Amanda Scarnati: So if I look at sort of the progression of the ESI business in 2020, it's more service the PCB recovery story. Inventory looks like it's in a better position. But then for 2021, we could expect to see even more growth potentially if HDI works out. Is that the right way to look at it?
John Lee: Yes. I mean I think it's the right way to look at it. HDI in 2020 is more about design wins and the initial multiunit orders. And then 2021, those volumes should increase.
Amanda Scarnati: And then just on the operating margins. Is there a path to get those back towards that mid-20% range that you saw in 2018 and 2017? Or are we sort of about a low 20% range as sort of the new norm with kind of ESI having lower margins?
Seth Bagshaw: Yes, Amanda. This is Seth. It goes back to volume. So again, I mentioned before the last question. If you get back to those volumes for the Vacuum and Analysis and Light and Motion divisions, definitely, the absorption will pick up quite a bit, at least 100 basis points, maybe a little bit more than that. And then ESI depends, I mean, that depends on the mix of that product portfolio. And again, I mentioned before, in the middle of calendar year 2019, the margins in that division, were more in the 45% range, the corporate average range, even at relatively low volume. So half of it is higher volume across the business and then a little mix on the – better mix on the flex side of the house. It would be helpful. But there's a path up there. If we get those volumes, that mix comes back, we should be close with margins again.
Amanda Scarnati: Great, thank you.
Seth Bagshaw: Yes.
Operator: Our next question comes from Mark Miller with the Benchmark Company.
Mark Miller: In terms of the second half of next year, there are a couple of things. A lot of people are assuming that 5G will really start to come on in the second half of next year. But also, Intel had some comments. They had very strong data center-related sales, and you've mentioned that last quarter, but their CEO indicated there could be some softening in the second half of the year. Just was wondering if you could provide some color on those two aspects in terms of the second half.
John Lee: Yes, Mark, it's John. So I don't think we can really predict that far out, like this year, we read the Intel's comments. I think we really can't see what's going to happen in the second half. I think, though, that longer term, even if data centers go up and down, the long-term trend for that is very positive for not just memory and logic, but even the interconnections to them, the communications between the data centers. So I think we really look at long-term there. I think for 5G, I think those phones in the last two or three months, the prediction of how many percentage of the smartphones will be 5G, has increased month-over-month. And that's great for us. As you know, 5G phones have needs for more memory, DRAM and VNAND and more processing power, higher more advanced nodes. It also has anywhere from 20% to 30% more flex circuits in them. So that's great for our laser ecosystem as well as our E&S group. So I think we really look at the 5G trend and the data center trend is just positive longer term.
Mark Miller: So Apple's report last night indicating a stronger-than-expected smartphone sales and also they were increasing orders to TSMC. I assume you view that as a positive?
John Lee: Yes. We've read that, too. And I was happy to read that, and I hope they actually do that. But it is a very good, positive tailwind if that happens.
Mark Miller: And finally, there was a little discussion about the corona – impact of coronavirus in China. Certainly, in terms of manufacturing, China buys a lot of lasers for manufacturing. Any more thoughts along those lines? It's too early to tell where, I guess, you're just watching the situation?
John Lee: Yes. I mean we pulled our DCP team together. We're meeting every day to monitor and assess in fluid changing – quickly changing environment. I think the Chinese government has restricted or extended the Chinese New Year week, and depending on the region. So that would certainly be – something we'd have to get around, manage around. But as I said, it's really – our focus is really on the health and safety of our employees right now.
Mark Miller: Thank you.
John Lee: Thanks, Mark.
Operator: So I'm not showing any further questions at this time. I'd like to turn the call back over to John for closing remarks.
John Lee: Thank you. We are pleased with our results for the fourth quarter of 2019. Extremely proud and appreciative of the dedication, focus and creativity of the over 5,000 MKS employees around the world. I look forward to building on the successes of the past decades and continuing to extend MKS' technology, operational and financial leadership. Thank you for joining us today and for your interest in MKS.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.